Operator: Good afternoon. My name is Emma, and I will be your conference operator today. At this time, I would like to welcome everyone to the ZipRecruiter Q4 2021 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions].  Amy Garefis, Chief Accounting Officer. You may begin your conference.
Amy Garefis: Thank you, operator, and good afternoon. Thank you for joining us in our earnings conference call, during which we will discuss ZipRecruiter's performance for the quarter and year ended December 31, 2021, and guidance for the first quarter and full year 2022. Joining me today on the call are Ian Siegel, Co-Founder and CEO; David Travers, President; and Tim Yarbrough, CFO. Before we begin, please be reminded that forward-looking statements made today are subject to risks and uncertainties relating to future events and/or the future financial performance of ZipRecruiter. Actual results could differ materially from those anticipated in these forward-looking statements. A discussion of some of the risk factors that could cause actual results to differ materially from any forward-looking statements, can be found in ZipRecruiter's annual report on Form 10-K for the year ended December 31, 2021, which will also be available on our investor website and the SEC's website. The forward-looking statements in this conference call are based on the current expectations as of today, and ZipRecruiter assumes no obligation to update or revise them, whether as a result of new developments or otherwise. In addition, during today's call, we will discuss non-GAAP financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for or in isolation from, GAAP results. Reconciliations of the non-GAAP financial measures to the nearest GAAP metrics are included in ZipRecruiter's shareholder letter and in our Form 10-K. And now, I will turn the call over to Ian.
Ian Siegel: Thank you, Amy, and good afternoon to everyone joining us today. 2021 was an exceptional year for ZipRecruiter. Revenue grew to $741 million, a 77% increase over 2020. We saw outsized strength on both sides of our marketplace and across all business metrics, as you've probably seen in our shareholder letter. In a few minutes, Dave will detail the progress we've made against our strategic growth pillars. Later, Tim will walk you through our results for Q4 '21 and full year 2021 as well as our guidance for Q1 and full year 2022. First, I'd like to highlight the unique macroeconomic backdrop against which ZipRecruiter delivered these phenomenal results. 2021 was a record-breaking year for the U.S. labor market. The U.S. economy added almost 6.7 million net new jobs, the highest single year total on record. We also saw the highest number of job openings. American employers appetite for labor grew, as the U.S. economy continued its recovery from the severe impact of the pandemic. 2021 will also be remembered as the year of The Great Resignation and severe labor shortages. A record number of workers quit their jobs, while many potential job seekers remained reluctant to return to the job market for a variety of reasons. These two macroeconomic themes resulted in a stunning low of only 0.6 million active labor force participants for every job opening. In response, employers rolled out the red carpet to attract workers, raising wages, increasing benefits and adding flexible schedules. We're now seeing wage growth pick up across all industries. The shortage of available talent compels employers across all sectors of the economy to use novel approaches to stand out. Using ZipRecruiter technology, employers are proactively recruiting talent rather than just waiting for applicants to apply to open jobs. Job seekers, who previously spent countless hours searching for a great job, are now getting showcased to employers and directly recruited. We believe we are moving the industry away from an era in which job seekers shoulder the burden of searching for a job, towards a new era in which employers take the initiative and go first. We believe we are uniquely positioned for long-term success during these extraordinary times and the many twists and turns to come, as the economy continues to expand. Before I turn the call over to Dave, I'd like to highlight several key promotions on our executive team. Dave Travers, who previously served as our CFO, was promoted to President. Tim Yarbrough was promoted from Chief Business Officer to CFO. Also, Amy Garefis was promoted from SVP of Accounting to Chief Accounting Officer. All 3 of these stellar teammates have been long-standing, high-impact executives in the company. I'm also happy to announce the appointment of a fantastic new addition to our Board of Directors, Bree Carrere. Bree is the Chief Marketing and Communications Officer at FedEx. She is a dynamic and thoughtful business leader, who I look forward to welcoming to the Board. I'm excited about how these well-deserved promotions and Bree Carrere's appointment will strengthen our company, as we continue to build a category-defining marketplace that redefines how people find work. After founding ZipRecruiter 12 years ago, I can say that I've never been so excited about the opportunities before us. We believe we have the right technology, the right team and the right strategies to address this huge market opportunity, and our work has never been more relevant. Now, I'll turn it over to our President, David Travers, to talk through some of the progress we've made against the 3 pillars of our marketplace strategy.
David Travers: Thank you, Ian, and good afternoon, everyone. While 2021 was a unique period in the labor markets, it's our continued execution against our 3 strategic pillars that allowed us to deliver such outsized results. I'm excited to share some highlights with you this afternoon. Starting with our first pillar, increasing the number of employers in the ZipRecruiter marketplace. We implemented a variety of strategies during 2021 to drive growth. From new product innovations to increased investments in ROI-driven marketing campaigns, we are committed to attracting and delighting employers. The results are clear to see the numbers. A record number of paid employers participated in our marketplace in 2021. This growth came from employers of all sizes and industries, driven by both new and returning paid employers. Our product strategy of using extremely simple user experiences to deliver cutting-edge underlying technology, continued to pay off in 2021. There is no better way to judge the success of this strategy than to let employers and our marketplace explain it themselves. For example, when you look at G2, employers continue to rate us the #1 employment job site in the U.S. In addition, in Q4, employer feedback led G2 to recognize ZipRecruiter as the hiring solution, users are most likely to recommend. Since this is our first call going over full-year financial results, we want to provide you with additional color on employer cohort behavior that demonstrates how our marketplace is growing stronger over time. While the 2021 cohort contributed to a record number of paid employers in 2021, average monthly revenue per employer from that cohort was 15% higher than the 2020 cohort during its first year. Additionally, revenue contribution across all annual cohorts was exceptional, with each annual cohort showing increasing average monthly revenue in 2021. These cohort results were consistent with our focus on deepening relationships with employers over time. The more employers get to know the power of the ZipRecruiter marketplace, the more confidence they have that they can pay more to get more with ZipRecruiter. Our employer marketing efforts put our product and its competitive advantages in the spotlight for employers. This investment, coupled with positive word of mouth from the companies using ZipRecruiter for recruiting, has generated over 80% aided brand awareness as of January 2022. This extraordinary level of awareness is a long-term asset that makes all of our employer acquisition and retention initiatives more efficient. Our long-term philosophy, when it comes to marketing, is consistent. We are scientists, not artists. We invest, measure results quickly and then adjust spend in each marketing campaign according to their ROI. Disciplined employer acquisition and favorable revenue profiles have resulted in attractive cohort economics over the years. Our 2021 cohort of paid employers, in particular, had an excellent ROI, highlighting the financial efficiency of our marketing strategy. Now, I'll shift to our second pillar, increasing the number of job seekers. Despite one of the tightest labor markets in history, we have 35 million active job seekers in our marketplace in 2021, compared to 36 million in 2020. Our ability to attract and engage job seekers at scale, despite their historic scarcity, was the result of a relentless effort to continue improving our job seeker experience. Job seekers have rewarded our efforts with a #1 rating for our job seeker apps in both the Apple and Google app stores. As part of our effort to humanize the job seeker experience of ZipRecruiter, we vastly expanded the prominence of Phil, our AI-powered personal recruiter. Phil now introduces himself to the job seeker during the onboarding process in both our mobile apps and [AM] on the web. As the job seekers' personal recruiter, Phil engages at key moments to capture job seekers' specific preferences, so that he can improve his recommendations over time. Armed with this insight, Phil directed job seekers' attention to great-matched job opportunities, tens of millions of times, in 2021. In 2021, we began making significant marketing investments in building our brand with job seekers. Much of this investment in 2021 centered around developing and launching job seeker-focused TV spots, highlighting the experience as job seekers have told us about, namely that working with Phil was the first time they ever felt like someone was truly on their side to help them through the job search process. We love hearing these stories of job seekers' positive experiences and intend to share more of these for many years to come. Lastly, I will discuss our third pillar, making our matching technology smarter over time. As Ian noted earlier, employers have never been more eager to fill their open jobs. In response to the market-wide shortage of people looking for work, we worked harder than ever to deliver more great matches. Data from our growing marketplace powers our matching algorithms, which continuously learn and deliver better results. This allows us to drive great match opportunities to job seekers across our marketplace, using products like ‘Invite to Apply’. Employers tell us our algorithms are working by rating applications as a thumbs up. We were able to deliver 55% more total thumbs up great match candidates in 2021 versus 2020, despite a historically-tight labor market. We're proud of these results we delivered and the team's execution across these pillars. As we look ahead, you'll hear more about scaling both the number of employers and job seekers in our marketplace, drives more data that feeds our matching algorithms, enabling us to accelerate the rate of change in how people find work. Now, I'll turn it over to our Chief Financial Officer, Tim Yarbrough, to talk through the fourth quarter results as well as guidance for the first quarter and full year for 2022. Tim?
Tim Yarbrough: Thank you, Dave, and good afternoon, everyone. Building on the momentum of Q3, our fourth quarter revenue of $220 million represented another record quarter, exceeding the guidance we provided in November. This represents 93% growth year-over-year and 3% growth over the third quarter of 2021. Paid employers were 147,000, representing a 64% increase year-over-year. The sequential decrease in paid employers in Q4 is consistent with what we experienced in pre-pandemic periods and represent somewhat of a return to normal, in terms of seasonal patterns. Revenue per paid employer increased by 17% versus Q4 '20 and 19% sequentially during the quarter, demonstrating employers confidence that they could pay more to get more by investing in various upsells, posting more jobs and increasing their total spend in our marketplace. GAAP net income was $21 million in the fourth quarter of 2021, compared to net income of $53 million in Q4 of the prior year. Adjusted EBITDA was $48 million, with a 22% margin, compared to $34 million in adjusted EBITDA or a 30% margin in the prior-year fourth quarter. The increase in revenue was offset by employee-driven expenses as well as an increase in our sales and marketing activities. After closing out another record quarter and an exceptional year, we're pleased to provide guidance for the first quarter and full year for 2022. We expect $220 million in revenue in Q1 of 2022 at the midpoint, which translates to a 76% year-over-year growth. Despite the unprecedented macroeconomic environment in 2021, our execution against the 3 key pillars of our strategy has given us confidence in our ability to achieve healthy revenue growth in 2022. We estimate revenue for the full-year 2022 to be $885 million at the midpoint, representing 19% growth versus 2021. Our guidance reflects our belief in a gradual return to a more traditional macroeconomic and hiring pattern by the end of the year, which will drive revenue growth for us that is above our pre-COVID growth rate in 2019 of 18%. We expect adjusted EBITDA of $27 million at the midpoint in Q1 2022 and $130 million at the midpoint for the full-year 2022. The full-year 2022 adjusted EBITDA guidance equates to an adjusted EBITDA margin of 15%, which is in line with 2021 and reflects an increased investment in our internal teams to drive continued product innovation as well as sales and marketing expenses aimed at growing both sides of our marketplace. Our adjusted EBITDA margin guidance of 15% is above our pre-COVID adjusted EBITDA margin of 2% in 2019, reinforcing our confidence in our ability to grow profitably despite the increased investments. Additionally, on January 12, 2022, we completed a private offering of $550 million in aggregate principal amount of our 5% senior notes, due in 2030. We intend to use the net proceeds from the offering for general corporate purposes, which may include capital expenditures, investments and working capital. These proceeds, combined with our $255 million cash balance as of December 31, 2021, bolster our cash position as we begin 2022. We also announced that the Board has authorized buying back up to $100 million of our own stock. This share repurchase program allows us to take advantage of market disruptions that offer extraordinary investment return opportunities. The new $100 million authorization represents less than the cash flow we have generated over the first 3 quarters as a public company, and our strategy for growth, based on both disciplined organic investment and pursuing select M&A opportunities, remains unchanged. We're excited to finish our first fiscal year-end as a public company with such strong financial results and outlook. We remain even more excited than ever before that ZipRecruiter is at the center of transforming how people find work and continuing to actively connect people to their next great opportunity. With that, we can now open the line for questions. Operator?
Operator: [Operator Instructions]. Your first question comes from the line of Mark Mahaney with Evercore.
Mark Mahaney: Two questions, please. You talked about the introduction of nationwide candidates to the ‘Invite to Apply’ solution. Can you talk about just how broad that is? One of the enduring trends, whatever takeaways from the COVID crisis, has got to be remote work. So just how big of a feature is that -- how big is the demand for that, that you're seeing on both the employer side and on the employee side? So just -- if you'll talk on that. And then, thanks for the update on the thumbs up metric, I thought you also had this great metric in the past on average days -- job days are posted or something like that. Do you have an update on that number, the annual number? How long the job stays are posted for?
Ian Siegel: Yes. Thanks for those questions, Mark. And -- so let's start with nationwide recruiting demand. Nationwide recruiting is the emerging trend in the future of work. It's something we've talked about, extensively, internally. Over half of job seekers are currently looking for work that either are fully remote or hybrid in nature. That's their #1 demand, if you will, from employers. And only about 40% of jobs can actually be done remotely at this point. If you look at the pre-COVID period, less than 2% of jobs mentioned 'remote' in the job description. And if you look at the current period that we're in, it's north of 10%. So there's been a 5x, in terms of employers' openness and willingness to accept nationwide recruiting as a viable solution in these incredibly challenging times, in order to recruit talent. As far as job days goes, metrics that we have updated, but we continue to be impressed with the power of modern algorithmic matching techniques, particularly when you layer in Phil. If you look at the introduction of Phil, which is this persona that assists job seekers through the experience of searching for work, just introducing Phil to the onboarding experience increased the completion rate to onboarding by 29%. And these are the early parts of the process. So there are many, many more optimizations in store, as we've talked about in previous calls. This, to us, is not just a matching problem. This is a social problem. This is a human problem, and we're trying to make the process feel more human by introducing Phil as your guide and your feedback giver, as you go through the process.
David Travers: And this is Dave. Just to jump on there, Mark. The -- in the current market environment with the scarcity of job seekers out there that we referred to, by far, talking to customers, the most important thing to them was delivering 55% more thumbs up great match rates -- this thumbs up great matches this year, which really drove amazing results for our customers, and that's what we really focused on. The time of job being posted was not a material change this year.
Operator: Your next question comes from the line of Eric Sheridan with Goldman Sachs.
Eric Sheridan: Maybe coming back to some of the comments in the prepared remarks. If you think about revenue contribution and you take your comments on cohort and long-term philosophy with respect to marketing, I think the first question would be how should we be thinking about the evolution of the LTV to CAC or return on your marketing spend, both in the current environment? And whether you have any updated views, in terms of the longer term return on marketing spend, given the momentum you see on the platform? And given that same momentum on the platform, the second question would be, are there elements of investments either on the marketing side or the product side that you're thinking about maybe accelerating or leaning into, as we go into '22, given the broader labor backdrop?
David Travers: Sure. This is Dave. So great question. So on the LTV to CAC and ROI front, 2021 was an exceptional year across all 3 major areas in which we measure the effectiveness of our go-to-market spending. So one, the -- in terms of the payback period in 2, in terms of the total return of LTV to CAC over any term, as we project out what the 5-year impact might be or something like that, our LTVs have never been higher, our CACs never been lower. And then finally, and potentially most importantly, as we experienced both through the downturn and the upturn of the cycle, the power of the brand we're building is an enduring asset, and we've seen that in the lows of 2020 and in the highs of 2021 and continue to see it today, where that 80% plus brand awareness is where you'll see us continuing to double down. And we will not rest on our laurels there because we know that when we are top-of-mind for a job seeker, top-of-mind for an employer, as they even consider entering the market for their next great opportunity, that we then will have an outsized return from being right there, right when they think about even considering jumping into the job market. So we'll continue to invest there. And then in terms of other marketing investments where we might go, I think the biggest area, where you'll see us go and you've already seen us go over the past few months, is investing behind Phil and making sure that job seekers understand that the power of modern technology, which they've long known ZipRecruiter for, is combined with humanizing now the job search experience, which not the -- job seekers aren't necessarily used to seeing a technology platform do that. And they don't necessarily have the historical experience of viewing, going online to search for jobs as being an uplifting and humanizing experience, and you will increasingly see us invest behind that in a way that differentiates us and points out how compelling and different the experiences are in the marketplace.
Ian Siegel: I was going to add one more thing, which is, from the employer perspective, if you look at a job market, where there is less than one active job seeker, currently, for every open job, that is a distressing landscape, if you are an employer who is recruiting talent. So it is imperative that you find solutions that are differentiated, that allow you to stand out, and nothing let's you stand out more than being an employer who can identify a strong candidate, reach out and directly recruit them before they have applied. And fundamentally, that's our ‘Invite to Apply’ product. That's what it does. It [flips] the market on its head, so that employers can go first. Job seekers love getting these messages from employers. It's the highest response rate that we've ever had from job seekers. And when they apply after receiving that outreach, they get the highest thumbs up rate that we've seen from any matching technology we've ever deployed. This is just a solution that makes sense. We're heavily investing behind it and accelerating investment in it because right now, more than ever, this is a solution that is needed.
Operator: Your next question comes from the line of Doug Anmuth with JPMorgan.
Douglas Anmuth: I just wanted to follow up on the product investments. And if you could talk a little bit more, I guess, if you think about matching and ‘Invite to Apply' and then Phil, just hoping you could talk about how you build on those more in '22? Or do you see another wave of, kind of, new improvements, in terms of product? So that's number one. And then two, if you could talk a little bit about just mix, in terms of '22 top-line growth from a employers versus spend per paid employer perspective?
Ian Siegel: Yes. I mean, I can talk about the improvements, as it relates to Phil. So Phil is a personal [refer]. And that is a product that has never existed before. Almost all job sites in history have been self-service portals, where you, as a job seeker, go in and guide yourself through the process of searching for work. And it's a process that no one ever trains you on, and it's a process that remains, fundamentally, unchanged. You enter a job title in a city. You're showing a list of results, and you try to navigate to the right jobs for yourself to apply to. Phil is completely different as an experience. So Phil is going to give you perspective on where you stand in the market. How much you are worth? How much competition there is? How many employers are hiring for your skills? So that you have context, as you go into the process. And then further, Phil is a curator. Phil is going to find the jobs for which you're most likely to be a top-10 candidate, highlight those jobs for you specifically as soon as they come online and give you the opportunity to be one of the first to apply. On top of that, Phil is also your advocate. Phil is going to literally pitch you to employers before you apply, present you as a potential candidate, so that they, in turn, reach out and directly recruit you, which, as I said before, is the preferred experience of job seekers effectively everywhere in the United States that we've tested. And we believe that this is the future of the job market, fundamentally. It just makes sense that employers would identify the candidates that they're interested in and do the first part of the outreach process because that removes all the uncertainty for job seekers, and it starts a much more fundamentally-successful conversation, and it's driving an ever-increasing amount of the hiring that ZipRecruiter is able to generate.
Tim Yarbrough: Doug, this is Tim. I'll take the second part of that question. So of the two metrics that we disclosed, paid employers and revenue per paid employer, 2021 was a pretty unique year for us in a couple of respects, but one of them was the surge in paid employers that we had into our marketplace over the course of Q2 and Q3, specifically. And so with that surge, came a temporary dampening of revenue per paid employer. But I think, what that masks was the more general truism of our business, where we see revenue per employer march steadily up and to the right, consistently over time. And you see, that show up in the annual cohort metrics that we disclose as well. The paid employer number itself might be a little choppier on a quarter-to-quarter basis, but we expect that from peak-to-peak or trough-to-trough as you measure that, that number also will climb up [until the right], over time, as well.
Operator: Your next question comes from the line of Aaron Kessler with Raymond James.
Aaron Kessler: A couple of questions. Maybe for just -- maybe a follow-up to that question on kind of the outlook for employer growth, maybe, versus revenue per employer as we look into '22. And then, maybe it would be good to get your thoughts on overall, kind of, macro trends you're seeing in the quarter. And obviously, we're still at a pretty elevated level of job openings. Your thoughts and, kind of, do we continue to see that level of job openings throughout '22? Or do we get to more normalized levels, maybe, by the end of the year?
Tim Yarbrough: Yes. So I think what we're seeing in Q1, so far, is pretty consistent with the publicly-available jobs data that you're referring to. So things seem to be going along just fine in the macroeconomic picture. And so I think, that [matches] to the guidance that we provided. Over the course of the year, the guidance that we do give does assume more of a gradual returning to normalcy, as we mentioned before. And we don't know exactly how it's going to flow out throughout the course of the year, but we think it's reasonable to expect it to kind of come in ratably, as we go quarter-to-quarter. And so I think, that will have an impact on a couple of metrics like paid employers, for example, but with high confidence in the revenue per paid employer number continuing to decline.
David Travers: Yes. So Aaron, this is Dave. Yes. So exactly to Tim's point, we're north of 10 million job openings right now. We were closer to 7, pre-pandemic. So embedded in our guidance, is the idea that we're going to get closer back to 7 over the course of the year, maybe not all the way there. Obviously, we thought -- in our '21 guidance, we thought we'd get there sooner. So it's taken longer than we thought, but we still think that we're headed back somewhere, maybe it's 8, something like that, over the -- gradually over the course of the year. But obviously, it's taken longer than we thought, but we still think we're headed back towards something more normal than what we see today, but that's just our best guess. And if we're wrong in one direction or another, that will impact the guidance numbers we put out there.
Aaron Kessler : Got it. Great. And a quick question on gross margins. It looks like they are pretty high in the quarter. Is there anything one-time? Or is it just some nice leverage that you saw, sequentially?
Tim Yarbrough: Yes. Nothing one-time in the quarter. So just [91%], overall.
Operator: [Operator Instructions]. Your next question comes from the line of Ralph Schackart with William Blair.
Ralph Schackart: In 2021, you had a larger sales and marketing headcount investment. Maybe if you can talk to some of the benefits you might be seeing from this investment, both within SMBs and perhaps with enterprise customers? Are you seeing the ramp that you would expect by now? And as you look towards 2022, are there any further investments also expected?
David Travers : Thanks, Ralph. Yes. So we did significantly ramp all aspects of our go-to-market efforts, including our sales headcount, in 2021. The returns on that were excellent, as indicated by our -- or the early returns, I should say, because they will continue to come. We do expect to continue to ramp those headcount numbers in 2022, based on demand. So those teams will grow, maybe not quite as much as they did in 2021, but we do anticipate seeing those grow. And we are scientists in the way we do headcount planning, just like we've spoken about, when it comes to marketing. And so it's really a judgment, based on the available data we have at the time like lead counts and the quota attainment of reps on many different teams. And we'll twist the dials and knobs, based on upsizing one team and shifting over from another team and increasing hiring goals of another team, based on the data we see, at any given time. So we will continue to adjust that over the course of '22, and we should see the benefits of that. On the SMB side, it takes 3 or 6 months. On the enterprise side and the outside sales teams, that may take 12 months or more to see the full benefit of that. But we do anticipate ramping those teams in 2022.
Operator: Your last question today comes from the line of Trevor Young with Barclays.
Trevor Young: Two, if I may. Just first on the full-year revenue guide at the high end. It basically looks to me like it's just the $223 million at the high end on 1Q annualized. Just how should we think about revenue seasonality this year versus what it was probably, kind of, pre-COVID? And then second question, again, on the full-year guide, 18% to 20% revenue growth but not assuming margin improvement. How should we think about some of the continued gross margin expansion and possible leverage in G&A, now that you have the public company costs layered into the base? Is that really going to get eaten up by the incremental investments that, I think, you mentioned in R&D and S&M?
Tim Yarbrough: Yes. Great. So Trevor, this is Tim. So regarding the full-year '22 guide, so a couple of comments I want to throw out there. First, so we had a couple of quarters of very strong performance in '21, and so that makes difficult year-over-year comps for '22 per share. So as to your point, I think looking at more sequential growth is probably more helpful for the year. And our guidance does reflect two things: one, a glide path more back to a normal hiring environment but then also at trends that are more similar to what we saw in pre-pandemic periods, so specifically 2019. A couple of extra points to consider for context, just looking at overall revenue and adjusted EBITDA guidance. So our midpoint for '22 is 19% growth, compared to 18% in 2019. Secondly, the $885 million at the midpoint for '22 is over 2x what our 2019 revenue of $430 million was, with adjusted EBITDA margins coming up from 2% in '19 up to 15% at the midpoint of '22. And so all this boils down to a couple of year or a 2-year compounded annual growth rate of 27% from 2019 to '22. So more directly to your question, I think the seasonal pattern of quarterly revenue within the year will reflect something more what we saw pre-pandemic. So with Q1 being roughly in line with Q4. Q2, Q3 being relatively stronger, with Q4 being relatively slower, as we enter into a more seasonal period. And then your second question with respect to overall margins. I think for the year, we're showing adjusted EBITDA margins of 15%. We don't expect anything meaningfully different in gross margins. So we do see -- now that we have some of the large one-time direct listing-related costs in '21, we'll see some normalization within G&A. And as was mentioned earlier in the call, we're going to continue investing in some of these big initiatives like Phil and our other job seeker marketing campaigns.
David Travers: Yes. I'll just jump in there and add a couple of points there. One is, embedded in the guidance is continued aggression toward investing in the business for the long term. We very much believe we're still in the early stages of building this business. And so we believe there are a number of opportunities that will show results, not just in 2022, but well beyond. And two, I would just add that embedded in the guidance and as we look out across the business, we remain extremely confident in our ability to get to our 30% long-term EBITDA margin over time. And nothing has changed in that regard, except perhaps our confidence in increasing in our ability to do that over the long term.
Operator: This concludes our question-and-answer session for today and the conference. Thank you for all attending. You may now disconnect.